Operator: Good morning, and thank you for holding. Welcome to the Conn's, Inc. conference call to discuss earnings for the fiscal quarter ended July 31, 2023. My name is Doug, and I will be your operator today. [Operator Instructions] As a reminder, this conference call is being recorded. The company's earnings release dated August 30, 2023, was distributed before market opened this morning and can be accessed via the company's Investor Relations website at ir.conns.com. During today's call, management will discuss, among other financial performance measures, adjusted retail segment, operating loss and net debt. Please refer to the company's earnings release that was issued today for a reconciliation of these non-GAAP measures to their most comparable GAAP measures. I must remind you that some of the statements made in this call are forward-looking statements within the meaning of the federal securities laws. These forward-looking statements represent the company's present expectations or beliefs concerning future events. The company cautions that such statements are necessarily based on certain assumptions, which are subject to risks and uncertainties, which cause actual results to differ materially from those indicated today. Your speakers today are Norman Miller, the company's Interim CEO; and George Bchara, the company's CFO. I would now like to turn the call over to Mr. Miller. Please go ahead.
Norm Miller: Good morning, and welcome to Conn's second quarter fiscal year 2024 earnings conference call. I'll start today's call with an update on our strategic priorities before turning the call over to George, who will review our financial results in more detail. The strategic initiatives we are pursuing to turn around our retail performance and better serve our core credit-constrained customers are taking hold and continue to perform in line with our expectations. For the second quarter, sales financed through our Conn's in-house credit option increased 4.3% year-over-year and sales through our lease-to-own offering increased 2.5%. In addition, we produced record quarterly eCommerce revenue and grew credit applications by over 30%. We also experienced a significant improvement in retail gross margin, which expanded by 230 basis points over the same period a year ago to nearly 37%. This is the highest level in almost two years and reflects the benefits of the pricing and assortment changes we have made since the end of last year. While we expect the economic environment to remain fluid over the near term, we continue to focus on improving profitability, controlling credit risk, and pursuing strategies that leverage our powerful value proposition to serve our customers and drive sales. I am confident in the progress we are making and believe we will emerge from this period as a stronger company that is well positioned to serve the growing needs of our customers. So with this introduction, I want to highlight the strategies we are pursuing, starting with our efforts to better serve our core credit-constrained customers. Since I rejoined the company in October 2022, I have consistently discussed the importance of refocusing our strategy to leverage our unique credit retail business model. I have a strong belief that our business resonates with our core customers who now more than ever need the multiple payment offerings we provide. By combining unmatched payment options across the entire credit spectrum with essential home-based product categories and an elevated shopping experience, we provide a powerful value proposition to our customers. I believe second quarter sales growth within our Conn's in-house and lease-to-own offerings as well as record quarterly eCommerce sales reflect the positive momentum that is underway within our business. This success follows two important initiatives that we have discussed over the past several quarters. First, we adjusted our marketing spend towards channels that are most effective with our credit customer and changed our marketing message to emphasize our credit-oriented value proposition. Second, we completed the launch of our new application process that makes it easier for customers to apply for our payment options with little-to-no impact on their credit score. Following the nearly 10% year-over-year growth in credit applications we experienced in the first quarter, momentum continued in the second quarter as applications increased over 30% to reach the highest level of application growth we have experienced in nine years. Credit applications are a critical leading indicator of sales and our application growth is driving sales within our in-house financing and lease-to-own segments. We have also experienced steady improvements in overall sales trends, which have improved since February as our refocused marketing efforts and strategic priorities take hold, and sales benefit from our new application process and our growing eCommerce business. Same-store sales were down 15.4% for the second quarter, which is the third quarter of sequential improvement and an over 1,000 basis point improvement from last year's third quarter. Top line trends have continued to improve and month-to-date same-store sales in August are down 13% and total sales are down 10.7%. The continual improvements in same-store sales since last year's third quarter have been driven primarily by a significant turnaround in sales financed through our in-house payment offerings as a result of the growth strategies we are pursuing. We have maintained a conservative approach to credit underwriting, which has supported stable performance within our credit segment even as we navigate a more challenging economic environment. In addition, sales within our lease-to-own segment increased during the quarter, reflecting our first positive quarter of lease-to-own sales in 1.5 years. As a result, we believe we are well positioned to achieve positive same-store sales in the coming quarters as our growth strategies continue taking hold and demand for our payment options increases. Softer sales from cash and higher credit quality customers has offset the growth we have experienced in sales through our Conn's in-house and lease-to-own offerings and we expect this trend will continue throughout this fiscal year. We believe sales to cash and higher credit quality customers are being impacted by several factors, including lower discretionary spending for home-related products following an extended period of excess consumer liquidity, pulled forward demand and tighter underwriting in general from prime lenders. Our eCommerce growth is the next strategic priority I'd like to review today. We achieved record quarterly e-commerce sales during the second quarter of $27.2 million, a 41.5% increase over the same quarter last year. In fact, second quarter eCommerce sales are higher than we achieved on an annual basis just three years ago. Year-to-date, eCommerce sales have increased 32.9% to nearly $50 million, and we believe we are well positioned to achieve over $100 million in eCommerce sales this fiscal year compared to $79 million last year. Record quarterly eCommerce sales follows multiple years of investment focused on optimizing our digital strategy and our ability to capitalize on our best-in-class logistics and delivery capabilities. I am encouraged by the continued progress we are making as we capitalize on a tremendous opportunity to scale our online business and drive annual eCommerce sales to over $300 million in the next several years. Looking at our lease-to-own payment solutions in more detail, we continue to focus on optimizing our in-house lease-to-own product known as Improvement Financial, which we believe has the potential to contribute to significant growth in both revenue and earnings in the coming years. Improvement Financial allows us to directly provide another profitable option to target a larger addressable market, including the approximately 670,000 applicants that did not qualify for Conn's in-house financing over the past 12 months. As a reminder, we started to originate our first in-house lease-to-own transactions through Improvement Financial in early 2023, and we have continued to optimize our in-house lease-to-own product. While I continue to believe that our in-house lease-to-own program will be transformative for Conn's, we are taking a more cautious approach to the expansion across our store base to ensure credit performance for this new product remains stable as we navigate an uncertain macroeconomic environment. As a result, we now expect improvement financial will be offered across the majority of our stores and at conns.com next fiscal year. Our overall assumptions remain intact and once improvement financial is mature in the coming years, we continue to believe annual lease-to-own sales can more than double from approximately $81 million last year and grow to over 15% of our retail sales. As you can see, Improvement Financial is a transformative opportunity that we believe will unlock significant value. Looking at our retail footprint in more detail. Year-to-date, we have opened seven new stores and expect to open a total of 10 new stores this fiscal year. As we have previously stated, after these stores open, we intend to pause new store openings over the next couple of years. With major investments across our credit and retail segments behind us, we believe we have a multiyear opportunity to drive retail growth within our existing locations and online without the need to open new stores or distribution centers. We believe this strategy will maximize profitability by increasing revenue per store and leveraging our fixed operating costs. Before I turn the call over to George to share more details on our financials, I want to reiterate my confidence in our business, higher sales to our core credit constrained customers, increased eCommerce sales and the expansion in retail gross margin demonstrate the success our key strategic priorities are having on the business. While we still have work to do, I believe Conn's is headed in the right direction, and I am excited by the opportunities we are pursuing to create long-term value for our customers, our team members and our shareholders. With this overview, I'll turn the call over to George.
George Bchara: Thanks, Norm. Our second quarter results demonstrate the success of our efforts to better serve our core credit-constrained customers and turn around our retail performance. I am encouraged by the progress we are making and continue to believe we have an enormous opportunity to profitably grow our business in the future. On a consolidated basis, total revenues were $306.9 million for the second quarter, representing an 11.5% year-over-year decline. For the second quarter, the company reported a GAAP net loss of $1.39 per diluted share compared to net income of $0.09 per diluted share for the same period in fiscal year 2023. As a reminder, reconciliations of GAAP to non-GAAP financial measures are available in our second quarter earnings press release that was issued this morning. Looking at the performance of our retail segment in more detail. Total retail revenues were $246.3 million in the second quarter, representing a 12% year-over-year decline. The decrease in retail revenue was primarily driven by a 15.4% decline in same-store sales and partially offset by new store growth. Same-store sales during the second quarter were impacted by lower discretionary spending for home-related products following an extended period of excess consumer liquidity, which resulted in accelerated sales. Retail gross margin for the second quarter increased 230 basis points to 36.9% compared to 34.6% for the same period in fiscal year 2023, primarily driven by pricing and assortment changes, a more profitable product mix and normalizing freight costs. The increase was partially offset by the deleveraging of fixed distribution costs. SG&A expenses in our retail segment for the second quarter were $101.4 million compared to $98 million for the same period last fiscal year. The increase in SG&A expenses reflect the impact of new stores opened over the past 18 months, which was partially offset by a decline in variable costs and lower labor costs as a result of cost savings initiatives. Due to lower retail sales, SG&A expenses were 41.3% of retail sales for the second quarter compared to 35.1% for the same period in fiscal year 2023. For the second quarter, retail segment operating loss was $10.4 million compared to retail segment operating income of $100,000 for the same period in fiscal year 2023. There were no non-GAAP adjustments to retail segment operating income in the second quarter of fiscal year 2024 compared to an adjusted loss of $1.4 million for the same period in fiscal year 2023. Turning to our second quarter credit segment performance. Finance charges and other revenues declined 5.6% year-over-year to $63.1 million, primarily due to a decline in the average balance of the customer receivable portfolio, partially offset by an increase in insurance commissions and late fees. As a percent of the portfolio, the 60-day delinquency balance was 11.1% at July 31, 2023, compared to 11% at July 31, 2022. In addition, this represents a 50 basis point decline from the first quarter of this year compared to a sequential increase of 70 basis points in the second quarter of last year. The balance of re-aged accounts as a percent of the portfolio was 15.9% compared to 16.1% for the same period in fiscal year 2023. In addition, the carrying value of re-aged accounts continues to improve and remains at one of the lowest levels in almost a decade. For the second quarter of fiscal year 2024, net charge-offs as a percent of the average portfolio balance were 15.8% compared to 13.7% for the same period last fiscal year. During the second quarter, the credit provision for bad debts was $33.2 million compared to $26.8 million for the same period last fiscal year. The $6.4 million year-over-year increase in the credit provision for bad debts was primarily driven by higher year-over-year net charge-offs and a smaller year-over-year reduction in the allowance for bad debts. The company reported credit segment loss before taxes of $4.5 million in the second quarter compared to credit segment income of $7.9 million for the same period last fiscal year. The greater credit segment loss before taxes was primarily due to higher interest expense as well as a reduction in our credit spread, which declined to 7.2% compared to 9.6% in the same period last fiscal year. Turning now to our balance sheet. At July 31, 2023, we had $611.4 million in net debt compared to $531.2 million at July 31, 2022. Net debt as a percent of the ending portfolio balance was approximately 61.9% at the end of the second quarter. To further improve our capital position and access to liquidity, during the second quarter, we entered into a $50 million 3-year delayed draw term loan. As of July 31, 2023, we had $239.7 million of cash plus availability under our revolving credit and delayed draw term loan facilities. In addition, on August 17, we completed a $273.7 million ABS transaction. Our latest ABS transaction was 10x oversubscribed, reflecting the extremely strong demand for our bonds. While the ABS market has improved over the past year, the market remains fluid and recent actions to improve our capital position demonstrate the company's ability to access the capital markets even during volatile market conditions. As a result, we continue to believe our liquidity and access to capital provides us with flexibility to support the current needs of our business while investing in our long-term growth initiatives. As our strategies take hold and continue to perform in line with our expectations, our outlook for fiscal 2024 hasn't changed since our first quarter call. We continue to expect retail gross margins to benefit from lower freight expenses this fiscal year. While we remain focused on managing costs, we continue to expect annual SG&A expenses to increase year-over-year by $15 million to $25 million, primarily due to new stores and investments in our e-commerce growth strategy. We continue to believe our annual interest expense will increase year-over-year by approximately $40 million to $45 million, and we expect our effective tax rate for the remainder of the fiscal year to be impacted by further adjustments to the valuation allowance. From a top line perspective, we expect continued improvements in total retail sales and same-store sales as we benefit from the growth strategies we discussed today. Overall, we believe our second quarter results and expectations for the remainder of the year demonstrate the positive momentum underway across our business and the growing success of our strategic initiatives. Finally, I want to share my thanks to all our team members for their continued hard work, service and dedication. So with this overview, Norm and I are happy to take your questions. Operator, please open the call up to questions.
Operator: [Operator Instructions] Our first question comes from the line of Brian Nagel with Oppenheimer. Please proceed with your question.
Brian Nagel: Hi guys. Good morning.
Norm Miller: Good morning, Brian.
George Bchara: Good morning.
Brian Nagel: Definitely some nice positives here, so congratulations.
Norm Miller: Thank you.
Brian Nagel: So the first question I have -- I've got a few questions. I'll go through in succession. But the first question, so Norm, you called out the -- your comments, the improving credit application numbers. It sounds like that was accelerated here in the fiscal third quarter. So I guess the question I have there is, as you look at that metric, is it -- the consumers applying for credit or at Conn's accelerated pace? Is it the same consumer? Or are you seeing that mix, so to say, change?
Norm Miller: What I would say, Brian, is it's certainly demonstrating demand for loan -- for lending and products. out there and increasing demand in the marketplace. Now part of that is because of our shift in marketing towards that consumer versus a year ago. But even with that shift in marketing emphasis towards the credit consumer. I would say that there's definitely an increasing demand in the marketplace as a result of banks and prime lenders as a general rule tightening which historically, if you look at economic more economic challenge times, it usually benefits our Conn's business and our LTO business. As far as the mix in it, I would say it's kind of -- it's heavily based towards the near prime and the subprime consumer.
Brian Nagel: Got it. That's helpful. And then my second question, I guess this will be a bigger picture, but looking at the progression here, you're talking about a lot of the positives here in the second quarter, the initiatives that place Conn's really started to take hold. So as you look at this and you're recognizing your comp store sales while getting better still solidly negative, you're still on a P&L basis, losing money. How do you view the trajectory here? Is it just an ongoing benefit of these initiatives is there some type of unlocks we're going to be hitting here in the forthcoming quarters?
Norm Miller: I think it's just steady improvement on it from an ongoing basis now in the third and fourth quarter, especially in the third quarter, we lap some tougher comp numbers. So that's an easier comp numbers. So that will make -- that will be a little bit of a benefit. But unfortunately, it's -- there's not a single silver bullet that's going to unlock and get us ultimately a positive comp. It's -- the -- as you heard, our Conn's financing and our LTO are actually positive comping those segments year-over-year. So part of it is continuing to build on those segments and then mitigating on that cash customer and the high credit quality customer mitigating there and, at the same time, continuing to accelerate that eCommerce business as well, which is, if I would highlight anything, I think, has the potential to be a material unlock to drive incremental sales here over the next 24 months.
Brian Nagel: Got it. I appreciate it. Thank you.
Norm Miller: Thanks Brian.
Operator: Our next question comes from the line of Kyle Joseph with Jefferies. Please proceed with your question.
Kyle Joseph: Good morning, guys. Thanks for taking my questions. So the sequential decline in delinquencies normally from a seasonal perspective, we would expect that to increase. So is that a function of underwriting changes, customer mix, a broadly healthier customer? Or what drove that?
George Bchara: Yes. And I would expand that, Kyle, to say that even into the third quarter, we've seen delinquencies remained stable, which is down a bit year-over-year. from a trend standpoint. I mean, I think as we've talked about, we've shifted our mix from a performance standpoint so that the bulk of our originations are to that higher credit quality risk Tier A and risk Tier B customer. And we've seen that customer remain more stable here this year from a performance standpoint and are encouraged with what we're seeing there from both an origination standpoint and also from a performance standpoint, even as we're operating in an uncertain and challenged macro environment. The further you go down that credit spectrum, the more stress we see with that consumer.
Kyle Joseph: Got it. That makes sense. And then, Norm, I think you alluded to some credit tightening in prime. Obviously, that's going to be a headwind for you guys in the near term on some of those prime sales. But longer term, how does Conn's do when the credit environment is tight? Or for instance, like if we do go into a hard landing, what do you expect -- what are the opportunities there?
Norm Miller: Yes. What I would say is it actually -- you're right, if we go into a harder landing and it's more challenging from an economic standpoint, that actually creates more opportunities from us from a sales standpoint. If you go back to 2008, you go back in other economic times, that actually creates sales opportunities for us. The balance we have to have is watching the portfolio because if there's any stress, we feel during that it can be out of the existing portfolio and what happens with that consumer base. But if we're underwriting to George's point, at that higher end of it of those credit quality customers, and we've done that purposefully as we've gone into these uncertain economic times because if it does turn into a more challenging landing, we think the portfolio will weather better, and it will absolutely provide us sales opportunities as folks tighten higher up the credit spectrum.
Kyle Joseph: Great. And then one last one for me. Margins really snapped back in the quarter. Any onetime things there? Is this a good kind of run rate? And I know you highlighted that you expect some ongoing improvements there, but just give us a sense for the quick snapback and where you see it heading from here?
George Bchara: Yes. No onetime items in the quarter, Kyle. It was really driven by a number of factors that we talked about. First was some pricing and assortment changes that we're starting to see the benefit of here in the third quarter that we would expect to continue, including some pricing changes on ancillary fees that we're seeing the benefit of in the third quarter. And we would -- in the second quarter, we would expect to continue here for the remainder of the year. And then as you look forward, really, we're still seeing the benefit of now lower freight costs, impact margin on the furniture side, and there's some additional upside for the balance of the year there. The other factor, as you look longer term here, we're still dealing with deleveraging on fixed costs on lower sales this quarter. And as sales continue to improve and ultimately turn positive, you'll see another benefit from the leverage of fixed cost on margin. So we're very pleased with where margin is right now and expect levels here to sustain for the remainder of the year.
Kyle Joseph: Got it. Thanks for taking my questions.
Operator: There are no further questions in the queue. I'd like to hand the call back to management for closing remarks.
Norm Miller: Thanks. First, I want to recognize and acknowledge all of our associates for all their hard -- continued hard work and contributions day in and day out. We are who we are because of them. So I appreciate their hard work. And I also appreciate everyone's on the call here, your interest in the company. We look forward to talking to you at the end of the third quarter. Have a good day.
Operator: Ladies and gentlemen, this does conclude today's teleconference. Thank you for your participation. You may disconnect your lines at this time, and have a wonderful day.
Norm Miller: Thanks, guys.